Operator: Good afternoon. Welcome to DigitalGlobe’s first quarter 2015 earnings conference call. [Operator Instructions] In addition, there are supplemental materials that will be referenced on today's call available at the company's website. To access those materials, go on the Investor Relations section of the company's website at www.digitalglobe.com. I will now turn the call over to David Banks, Vice President of Investor Relations for DigitalGlobe. Please go ahead.
David Banks: Thank you, operator. Good afternoon, everyone, and thanks for joining our call today. With me on the call are Jeff Tarr, president and chief executive officer; and Gary Ferrera, chief financial officer. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. Any forward-looking statements are based upon our historical performance and our current plans, estimates, and expectations. We may make forward-looking statements about, among other matters, revenue and revenue growth, adjusted EBITDA and adjusted EBITDA margin, earnings per share, cash flow, sales pipelines and strategic initiatives. Inclusion of this forward-looking information should not be regarded as representation by us that we will achieve future plans, estimates, or expectations. Such forward-looking statements are subject to various risks and uncertainties and assumptions. A number of important factors could cause our actual results or performance to differ materially from those indicated by such forward-looking statements. We undertake no obligation to update any forward-looking statement to reflect events or circumstances after the date on which the statement is made, or to reflect occurrence of unanticipated events. Please refer to our earnings release, which can be found at our website at www.digitalglobe.com, for a discussion of these risk factors. You should also refer to our earnings release for an explanation of the non-GAAP financial measures discussed during this call, and for a reconciliation of those measures to the nearest applicable GAAP measures. These non-GAAP measures are indicators that management uses to provide additional, meaningful comparisons between current results and prior reported results, and as a basis for planning and forecasting for future periods. For your convenience, we have posted slides on the Investor Relations section of our site at www.digitalglobe.com to give you an overview of the information we will cover today. During the Q&A session, limit your questions to one plus a follow up, and then reenter the queue if you have other follow up questions. With that, I'll turn the call over to Jeff.
Jeffrey Tarr: Good afternoon. Thank you for joining us today. I’ll first discuss our overall financial results and then briefly cover our early 2015 progress through the lens of our four strategic focus areas, including U.S. government growth, diversified commercial growth, operational excellence, and culture of leadership. Overall financial results were in line with our expectations. We grew revenue 8% to $169 million. We grew adjusted EBITDA 8% to $73 million. We delivered $26 million of free cash flow, a $48 million improvement when compared to Q1 2014, and we repurchased $31 million of stock in the quarter, bringing our total repurchases since initiating our program less than a year ago to $106 million. These achievements are a reflection of our early progress on our four strategic focus areas year to date. Continued progress will drive further growth, margin expansion, strong free cash flow, and improving returns. We expect to grow our U.S. government business by providing dramatically superior value compared to traditional cost plus defense contractors as we enable more of our customers’ workflow. We expect to grow our diversified commercial business beginning in the second half of 2015, with increased capacity and price lift enabled by WorldView-3 and by driving deeper into our selected verticals. We expect to drive further improvement in operational excellence, expanding margin while extending our lead in quality, and we expect to advance our culture of leadership by having the talent in place to scale our business and achieve our goals. Let me first spend a few minutes on each of these areas, starting first with U.S. government growth. Our U.S. government business is off to a strong start. We generated $115 million of revenue, up 18%. This was largely due to the year over year growth in our EnhancedView SLA. We also had a number of incremental successes in our value-added business, including a contract with NGA to provide direct mobile access to our imagery and a contract to advise the U.S. Air Force on best practices, in each case taking us deeper into our customers’ workflows. We also continue to add functionality and content to Global-EGD, growing usage and enhancing numerous workflows across the U.S. government. Turning to diversified commercial, we are where we expected to be at this point in the year, as we advanced multiple initiatives and tended to drive growth in the second half. As we indicated would be the case, diversified commercial revenue was down in the quarter. Most of the 7% decline was due to contract timing and the retirement of IKONOS, with approximately 2 percentage points attributable to a continued decline in Russia, which we had originally expected to stabilize. Within international defense and intelligence, we are successfully migrating revenue off of IKONOS, which we retired early in the quarter. We’re also selling and deploying WorldView-3 enabled constellation apps at the pace we communicated on our last earnings call. The first went live this week, with an important customer in the Middle East, and we expect two others to go live in the fourth quarter, driving growth in this customer group in the second half of the year. Within our other diversified commercial customer segment, we are building archive, pipeline, and backlog for 30 cm imagery, which we began to market to commercial customers in late February. At current pace, we expect to build out a complete 30 cm archive ratably over two years from launch, which is a key factor in the pace of revenue growth. In addition, the lift in capacity from WorldView-3 is expected to unlock growth in our tasking business, beginning towards the end of Q3 and to a greater extent Q4, which is the time of year we’ve historically been most capacity constrained. We’re also making good progress with our new product initiatives. Shortly after the quarter closed, we launched the world’s most accurate, current, complete, and consistent global base map of Africa. And our new geospatial big data platform has transitioned to a revenue generating phase with an initial set of customers, including insurance and financial services. We also expanded our content offerings within Spatial on Demand, our commercial multisource platform, driving modest growth in our energy business, despite pressures facing our oil and gas customers. Look forward, in addition to driving organic growth, we continue to pursue other acquisitions like Spatial Energy to expand our capabilities and take us more deeply into attractive verticals. Overall, we look forward to delivering meaningful growth within the second half as we monetize our newest satellite and demonstrate more progress on our product initiatives. Turning to our third strategic focus area, operational excellence, we continue to extend our lead in product and service quality while driving costs out of our business. Late in the quarter, we began to execute our previously announced reengineering plan, through which we will eliminate approximately 100 positions and further consolidate our real estate footprint, among other initiatives. We eliminated approximately 70 of those positions at the end of Q1, with the balance expected to exit through the course of this year, consistent with our original plan. Our real estate consolidation is also on track. We expect to vacate multiple locations by the end of this year as we consolidate into our new headquarters. I believe the reengineering skills, which we built through the successful integration of GeoEye, will continue to serve us well as we continue to focus on driving margin, free cash flow, and returns. These revenue and operating initiatives are only possible through advances in our fourth strategic focus area: culture of leadership. In the quarter, we continued to selectively upgrade and add talent to support our diversified commercial growth strategy, including a new sales leader for North America. I’m also pleased that we were named as a top workplace in Colorado. This is a reflection of our purpose, vision, and values, and the commitment of our team members to working together to serve our customers and share owners. An important addition to our talent base in the quarter is Gary Ferrera, our recently named CFO, who is joining us today for his first Digital Globe earnings call. While he’s been with us only since March, he’s off to a terrific start, bringing his unique combination of experience as a public company CFO with other capital intensive businesses: investment banking, public accounting, and military service. Let me turn it over to Gary to discuss our results in more detail. 
Gary Ferrera: Thanks, Jeff. I appreciate the introduction, and I’m very excited to be part of the DigitalGlobe team. To be involved with an organization with such a clear vision, a strong purpose, and that truly lives by its value statement is an absolute pleasure. Now let’s focus on our quarterly results, which were right in line with our expectations. Revenue for the quarter was $169.4 million, up 8% year over year. U.S. government revenue in the quarter was a record $114.8 million, up 18% year over year, driven primarily by $84.3 million in revenue from our EnhancedView service level agreement, or SLA. U.S. government value added service revenue was $26.7 million in the quarter, down 22% compared with $34.4 million in Q1 of last year. This expected year over year change relates to noncash amortized global EGD revenue recognized in Q1 of last year. Diversified commercial revenue was $4.6 million in the quarter, down 7%. Consistent with our expectations, direct access revenue was $24.6 million. As we’ve mentioned previously, we expect DAP to be down slightly in the second quarter as we complete the migration of revenue from IKONOS and renew contracts. We currently have good visibility and expect to see DAP revenue lift in the second half of the year. Our direct access backlog increased 9% year over year to $70.5 million, and more than doubled from Q4 levels, driven by four sizable renewals in the quarter. Other diversified commercial revenue was $30 million, a year over year reduction of $2.4 million. The decline was driven in part by Russia, which posted just $100,000 of revenue in the quarter versus $1.2 million a year ago. Offsetting these declines was year over year growth in our energy business and strength in certain regions among international civil governments including China, Canada, and Latin America. In spite of ongoing headwinds in Russia, we continue to expect our diversified commercial growth to accelerate in the second half, driven by timing of our direct access contract signings, capacity availability in the prime imaging season, the availability of 30 cm imagery as we build the archives, and new product initiatives. Our next 12-month revenue backlog increased 6% to $541.6 million, with growth driven by the step up in the SLA and DAP. We generated $73.1 million in adjusted EBITDA in the quarter, up 8% compared with adjusted EBITDA of $67.9 million in Q1 of last year. We have excluded from our calculation of adjusted EBITDA the $2.2 million we spent this quarter on reengineering. Interest expense was $12.7 million, reflecting capitalization of $2.1 million in quarterly interest on our debt. We made a decision late in the first quarter to remove WorldView-4 from storage in order to work on necessary enhancements. This possibility was contemplated in our original guidance. Free cash flow for the quarter was $25.6 million, up year over year by nearly $48 million, resulting in a 15% free cash flow margin. Capex spending, excluding cash capitalized interest, was $19.8 million in the quarter. Capitalized interest was $11.5 million. We repurchased just over 1 million shares in the quarter for $31.1 million, and we have approximately $100 million remaining on our $205 million share repurchase authorization. Our outlook for the full year remains unchanged. We continue to expect revenue in the range of $725 million to $750 million and adjusted EBITDA in the range of $355 million to $375 million. We expect revenue and EBITDA to be weighted more heavily in the second half of the year, with a bias towards the fourth quarter. You can find data on our historic revenue and adjusted EBITDA seasonality in the investor presentation associated with our earnings announcement. We continue to expect free cash flow as a percentage of revenue to be approximately 20% for the year. With that, I will now turn the call back to Jeff. 
Jeffrey Tarr: Thanks, Gary. Overall, we’re where we expected to be at this point in the year. We’re proud of our performance in our U.S. government business, and we remain confident in our ability to grow our diversified commercial business in the second half of the year as we migrate revenue off IKONOS, deploy Constellation [DAF] and build 30 cm archive, pipeline, and backlog. I’m also encouraged by our new product, marketing, and sales initiatives. This progress includes the work that we’re doing to bring together onto our platforms a wide range of geospatial content, including aerial, radar, low resolution satellite imagery, and geospatial big data, and enabling the creation of new disruptive information products to serve our government and commercial customers. Finally, before we go to Q&A, I want to take a moment to thank our team members and the tens of thousands of volunteer imagery analysts who have signed on to our Tomnod crowd sourcing platform and are working with the imagery in the open Street Maps environment to support relief workers and, through them, the victims of the tragic earthquake in Nepal. Operator, can you now please open the call for questions? 
Operator: [Operator instructions.] And our first question comes from Peter Appert from Piper Jaffray.
Peter Appert : Jeff, can you give us some more color on what you’re seeing in the non-[DAP] commercial side of the business in terms of the various segment performance? 
Jeffrey Tarr : As you know, we are making really good progress building pipeline and backlog into diversified commercial. Within our DAP business, we’re exactly where we expected to be. We’re migrating that revenue off IKONOS. We’re renewing contracts. We are upselling CDAFs and deploying those, and we’re seeing meaningful price lift in 30 cm. In our other diversified commercial business, we look to a combination of backlog and pipeline. And here too we’re seeing good growth, especially as we get towards the end of the year, which is when you see those civil government projects kick in, and when we expect to have a critical mass of archive that’s of value to our LDS customers. So good progress, feel good about where we are, and the direction we’re pointed at for the second half.
Peter Appert : Specifically for the first quarter, were there things you would pull out, besides Russia, that were weighing on the reported numbers?
Jeffrey Tarr : I would focus on Russia as the only area which is different from our expectations. The expectations that we had were right on track.
Operator: Our next question comes from Chris Quilty from Raymond James.
Chris Quilty : I’m sorry if I’m asking the same question in a different way, but when you look at the three elements within the other diversified commercial, the verticals, LBS, and international civil, can you give us a sense for the growth in those three areas in the quarter, and what you would expect for the full year?
Jeffrey Tarr : You know, in total, you see it in our reported results. And we believe that we’re going to have growth in the second half pretty much across the board. We obviously are not breaking out what is now about 18% of our business down into subsegments, but overall, I think they’re all tracking as we expected.
Chris Quilty : And as a follow up, a big part of that, I think, are price increases related to resolution relief as well as WorldView-3 capacity. Can you talk about how those contracts get renewed, both in terms of timing and are these things that they’ll actively renew the contract before it’s done? Or do they wait until the end of the contract period? And what sort of discussions you have on pricing and value for the imagery.
Jeffrey Tarr : It really depends on the customer. With regard to our DAP business, as we migrate the revenue off of IKONOS onto other elements of our constellation, deploy those CDAFs, that obviously requires an element of negotiation, in some cases going through procurement organizations. And that’s all tracking really exactly as we had expected it to track. If you look at our LBS business, those are longer term contracts. That doesn’t mean that they’re level throughout the period, because there’s timing of deliveries. The archive that’s of most value to most of our LBS customers is the archive that we’re starting to collect right now with leaves on trees. If you look at the web portals, you’ll see most imagery is not during the winter, but collected during the spring/summer months and usually, that’s in the Northern Hemisphere. So we’re just starting to gather that imagery now, and we’re in active discussions with all of our customers. If you look at our civil government business, that tends to be heavily focused towards the end of the third quarter and the fourth quarter. Those procurements are in flight now. We would expect that to track as it has with a heavy focus towards the back part of the year.
Operator: Our next question comes from Denny Galindo from Morgan Stanley. 
Denny Galindo: I had a question on the 30 cm selling effort. You mentioned kind of building up the archive of 30 cm, and I was wondering if it’s too early to tell whether that market is shaping up as a one-time purchase market or more of a subscription and repeatable purchase of the same kind of spot. 
Jeffrey Tarr : That’s a good question. Thanks for asking. I believe that it is setting itself up in the same fashion that our business typically has set up, depending on the vertical. So in civil government, that tends to be project oriented. It has a fair amount of large deal sensitivity to it. Certainly, we’re getting opportunities to bid on some new opportunities and have additional competitive advantage, and we feel good about that. Within LBS, that tends to be longer term contracts, but it’s not technically a subscription. It’s a minimum commitment with the pace of orders varying depending on the needs of the customer and where they want to have more current imagery. And I expect 30 cm to shape up in a similar fashion there. Obviously, in our DAP business, huge amount of visibility. As we put those CDAFs in place, enable them to access 30 cm, we should be able to see very clearly out quite a period of time in that part of our business. So, in general, not different from what we’re seeing in the rest of our company. 
Denny Galindo : And then switching gears to the Middle East opportunity, you mentioned some new wins there and some new additions to the pipeline. Have the geographies that are in high demand increased in the Middle East? Or are there kind of new customers that you haven’t sold to in the past that seem like they’re more likely to be a customer in the future? Just with all the turmoil that’s been going on lately, it seems like it’s a little bit elevated, even for that very tumultuous portion of the world.
Jeffrey Tarr : If you look at our international defense and intelligence business, we work closely with friends of the U.S. It’s a select number of customers in the Middle East and Asia Pacific. Obviously, these are tumultuous parts of the world. We see strong demand for what we have to offer and also strong demand for 30 cm, and that’s why we’re deploying the CDAFs and feel so strongly about the second half of the year.
Operator: Our next question comes from Josephine Millward from Benchmark Company.
Josephine Millward: Jeff, in the past, you had talked about an incremental DAP opportunity of I believe around $50 million with the new WorldView-3 satellites. Is that still the case? And how long do you think it would take DigitalGlobe to capture that market?
Jeffrey Tarr : In terms of our DAP opportunity, we think there’s considerable headroom for additional growth. I wouldn’t cap it at $50 million. We obviously think it’s larger than that over time, or we wouldn’t be launching WorldView-4 against that market opportunity. We feel very good about what we’re seeing. The world is not getting safer. We have a unique and compelling product offering, and we’re tracking as we expected last time we spoke with you. So feel good about the second half, feel good about 2017 and beyond, and we’ll keep you posted.
Josephine Millward : On that note, can you characterize what the demand looks like for allied governments that might not be DAP customers? Do you see them as incremental market opportunities? And how do you go about selling to them?
Jeffrey Tarr : That’s a great opportunity. We do business with a large number of governments beyond our DAP customers. They tend to be imagery sales, either one time or small subscription type opportunities. And we see in many of those countries the opportunity to drive more growth, especially with additional capabilities. And here it’s not just capacity and not just 30 cm, but the opportunities, for example, with some of our value added offerings, versions of global EGD, which we’ve started to take outside of the U.S. in a scaled back, sort of appropriately sized, way. And there are additional countries that we don’t do business with that I believe are good opportunities for us over the long term. So great question, and believe that will contribute to our growth over the medium to long term, for sure. 
Operator: Our next question comes from Howard Rubel from Jefferies.
Howard Rubel: First, most companies have capex that starts out slow and ends pretty high, and if just take the quarter, it would appear that you’re more than on pace to do the $110 million capex that you targeted. How are you thinking about it, especially in light of the fact you’re going to put some more product onto WorldView-4?
Jeffrey Tarr : We feel very good about the guidance that we gave. There’s no change to how we see the full year on capex.
Howard Rubel : And then second, with the government business, it’s always a difficult budget environment, and you seem to have found something that has caught the government’s eye. How do you look at both your pipeline and what do you see that’s maybe different from what you saw in December?
Jeffrey Tarr : I really see the same thing I saw in December with regard to U.S. government. Now, certainly Q1 was a little bit ahead of our target revenue in value add. I wouldn’t read too much into that, other than the fact that we are bidding on opportunities. We’re looking for ways to add value to our customers. Take, for example, global EGD, where we’ve added some additional tools, some long term, some in the context of a beta. But for example, helicopter landing zones. If you’ve been reading about what’s going on in Nepal, that’s obviously something that’s really critical tools to determine line of sight. Additional content such as geospatially enabled social media feeds. These are opportunities that we see to add value to what we do, drive usage, drive value, and, over time, drive growth. And I think you’ll see that in our government business over time. 
Operator: Our next question comes from Andrea James from Dougherty & Company.
Andrea James: Can you guys help us get a better understanding of the moving parts in your domestic commercial business? It looks like it ticked down 6% year over year. I guess I’m just wondering, did you lose any customers or is there something else specific going on in the U.S. commercial market? 
Jeffrey Tarr : We haven’t lost any customers, and there’s nothing specific going on. Q1 is typically our low season. There’s not much of a tasking business in Q1. The archive doesn’t represent a catalyst for growth in Q1, because we’re just building it. And then there’s certain timing related factors. So I wouldn’t read anything into that. And again, when you start getting down to the U.S. other diversified commercial business, you’re getting down to some pretty small numbers, where a few hundred thousand dollars one way or the other can cause meaningful percentage point swings. 
Andrea James : And then I guess moving to bigger picture, the FAA is slowly moving toward allowing commercial drones to fly in U.S. airspace, and I just wonder if this is something you guys are tracking. And are there puts and takes for you? I can see it going both ways, where you could maybe host some of this imagery, but then maybe at the same time, erode some of your advantage selling against aerial? I’m just curious to see how you see this whole thing moving toward drones.
Jeffrey Tarr : I guess first of all, I see it as early. Secondly, I see it as another source like aerial, like other sources of satellite imagery, as additional content that we can host on our multisource platforms to deliver more value to customers. And so we’ll continue to track it and watch it and figure out how we can take advantage of it to serve our customers and certainly create value for our share owners.
Operator: [Operator instructions.] And we have a question from Jim McIlree of Chardan Capital.
Jim McIlree: You talked about WorldView-4 enhancements, and I was just wondering if you could elaborate on what those enhancements are. 
Jeffrey Tarr : I wish I could. It’s a good question, but obviously, for competitive and other reasons, we can’t talk about those enhancements. But what I can assure you is it is within the context of our capex budget, so no change there.
Jim McIlree : And in the aerial market, in times past, you’ve talked about taking share from the aerial market. Have you started that process? Are you still bullish about that market? Is there any success that you can point towards in competing in that space?
Jeffrey Tarr : Sure. So, Jeff, to give you some context here, as a reminder, the aerial market is somewhere between $900 million and $1 billion worldwide, according to most expert estimates. Something approaching half of that market is imaged at 30 cm. We believe that we can capture our fair share of that. And we’re seeing early progress and going after some of that business, including some demand generation programs that are targeted at customers and prospects that we normally wouldn’t be doing business with, that are now an opportunity. So it’s an education process there. And then when it comes to civil government projects, as I said on the last call, we believe we’ll be able to bid on some civil government projects that weren’t accessible to us previously. That might take more than one procurement cycle, but we’re on track and believe that we’ll be successful.
Operator: And we have a follow up from Denny Galindo from Morgan Stanley.
Denny Galindo : Just had a couple of questions on the expense flow through the year. On SG&A, can you walk us through the sequential rise in SG&A this quarter? I know you probably had more storage costs, building leases, and maybe I think sometimes your travel expense is up a little in Q1. And then also, same thing on cost of revenue. The facilities expense bumped up a bit. Is that all from the new facility? Is this a new run rate going forward? Maybe just a little color on expenses.
Jeffrey Tarr : Let me start and then hand it to Gary. First of all, let me just say that you answered your own question pretty darn well, so you’re following us very closely in that regard. And SG&A, we had the storage expense, we have some additional expenses related to real estate early investments and COGS, similar story in terms of the facilities. And obviously, we are in a place where we’re driving cost out of the business. You didn’t see any of that cost come out in the first quarter, but in the second quarter, you should see some benefit from reengineering. So Gary, in terms of overall opex, what do you see going forward?
Gary Ferrera : The only thing I would add to that, and again, Denny, you kind of hit the nail on the head, as we mentioned, would just be WorldView-3 costs would be the only part I’d add to what Jeff said.
Denny Galindo : And then heading back to the aerial imagery question, in terms of kind of reaching out to some of these new customer types that you haven’t dealt with in the past, have you looked at the opportunity to either partner with or even purchase other aerial imagery providers out there now that would kind of help you tap into some of their existing customer base?
Jeffrey Tarr : Let me answer that question, but let me first correct something that I said in my last answer, which is the satellite storage costs flow through COGS and not through SG&A. But on to aerial. We’re certainly integrating aerial into our multisource platforms. We’ve been integrating aerial for some time. It’s in spatial on demand, it’s in global EGD. And the aerials shot at 30 cm, we’re obviously trying to compete for our share of the 30 cm imagery. So you should expect a combination from us. Competing where we can, and then with the higher resolution aerial imagery, partnering to integrate that into our multisource platforms. 
Operator: And we have a follow up from Chris Quilty from Raymond James.
Chris Quilty : Jeff, most of the companies I’m dealing with in the past couple of weeks are kind of getting blown out on the energy side. And if I read your language correctly, it sounds like you had another strong quarter here. Can you give us some details on what’s driving that strength? Is it either adding new customers or providing higher levels of services to those customers? And does it feel like this trend is sustainable?
Jeffrey Tarr : First of all, I don’t want to overstate things. We had growth in spatial energy. It wasn’t the kind of robust growth that we would expect in a different oil price market environment, but the fact that we’re delivering growth, I believe, is a testament to the strength of our efficiency oriented value proposition. We’ve also been adding content and capability to our offering. In the most recent quarter, we added additional LIDAR, additional elevation models and navigation maps, and we had a number of important renewals. So I feel good about that business. I believe that this bodes well for our ability to continue to grow that business at some level in this environment. And when commodity prices turn, which I believe they will, I would expect us to deliver even stronger growth. So I feel good about that part of our business and we’ll keep delivering value to our customers.
Chris Quilty : And on Russia, you’ve basically hit rock bottom here. Is there any reason to believe that that business is going to come back any time this year? And to the degree you can address, are those customers simply going without imagery, or have they resourced to maybe European or internal sources?
Jeffrey Tarr : That’s a good question. First of all, as we all know, Russia’s been a headwind on our business for about a year and a half now. The factors are geopolitical and economic. Our competitive win rates worldwide remain very strong. No one asked that question, but I’ll tell you, they’re still very strong, north of 75%. The issue in Russia, again, geopolitical. We did expect it to stabilize in the quarter. We generated about a million dollars in revenue in Russia last year in the first quarter. That stabilization didn’t happen. With that said, I’d say we’re still expecting at least some level of revenue in Russia this year. 
Operator: [Operator instructions.] And we have a follow up from Howard Rubel from Jefferies.
Howard Rubel : This is hopefully a two-part question that makes some sense. You’ve talked about integrating Tomnod and other information solutions into your database. Could you address what you see in terms of further opportunities there? And then also, are you finding, with the capability that you’re showing to people, that you’re finding either small sats or other people wanting to partner with you in some fashion?
Jeffrey Tarr : We are having many partnership conversations on a continuous basis. Spatial energy has more than 25 content partners, more than 100 geospatial data layers. We’re adding content to global EGD. As I look at it overall, the opportunity is absolutely there to partner more. We’re having conversations with most. Most of the established players we have commercial relationships with. The aspiring players, as they develop commercial product, we’ll look to include them as well in the multisource platforms. And we’re having some of those conversations. Most of them are still early in their development, though, as companies are still quite far from having commercial offerings. 
Howard Rubel : I’ll just try to see if I can put a little bit more of a corner on that. There’s also the ability to just integrate information with visual data, so that it has a robustness to it that can, I think, create incremental value. Is that a realistic opportunity? Is it hard to implement?
Jeffrey Tarr : We have the platforms, and we have the capability, for quite some time, and we’re building now, really ramping, integrating other types of content, both visual, as you say, and information that’s not visual. And one of the benefits we have in addition to having the most complete high resolution archive on the planet, it is also the most geospatially accurate global base map on the planet. So our ability to take data sources, visual and nonvisual, and enhance them and make them more geospatially accurate, but essentially locking them down onto our global base map, creates value that we believe we’re uniquely positioned to deliver. 
Operator: And we have a follow up from Andrea James from Dougherty & Company.
Andrea James : I’m trying to understand what’s going on in the China business. It looks like it’s growing in spite of that country’s launches of its own satellites. And so I guess it speaks to all your offerings. And my question is, do you see the China market as stable? And then do you think those Chinese launches will compete with your civil and commercial business there? Or are they just mostly focusing on defense use?
Jeffrey Tarr : We’re seeing growth in China. And we’re actually winning business in China that we feel very good about, so we think the prognosis is good, the prospects are good for China. If you look around the world, we are used to competing with lower resolution sources. And in the vast majority of cases, that’s exactly what we’re doing, is we’re competing with lower resolution sources and providing a unique and differentiated offering that many of our customers in these parts of the world find that they need. And that’s a great place to be. We’re the quality leader. We intend to stay in that position. And that bodes well for the global market for us.
Andrea James : And do you guys feel ready to share an update on the fruits of your geospatial big data initiatives? I feel like you guys have been making some real moves in that, but we haven’t heard much from you on it. Will we hear more soon, or today?
Jeffrey Tarr : Well, I mean, I can tell you a little bit. We have moved into a revenue generating phase. We’re still early. We’re hosting imagery in the cloud. We’re enabling our customers to run analytics on that imagery, whether it’s using our algorithms or their algorithms, or in some cases a combination. The customers that we’re working with are very sophisticated information companies with an analytic bent. And we feel very good about that. So I think we’re gonna see more to share in the future, and more customer names, hopefully, and more success stories.
Operator: And there are no further questions in the queue. I would like to now turn the call over to Jeff Tarr for any closing remarks. 